Claudio Descalzi: So, good morning and welcome to our 2016 result presentation and the full-year strategy update. 2016 was a year of records for Eni in spite of a challenging scenario. We have met all of our strategic milestones in the leverage of standing results meeting our main operating targets in production, sales and cash neutrality. We did it while enforcing strong cost efficiency, reducing CapEx by 19%, OpEx by 14%, and G&A by 10% versus 2015. In the fourth quarter, we produced a record organic level of 1.86 million barrels per day and notwithstanding the Val d’Agri shutdown. This interruption in Nigeria and initial downtime of Goliat, we achieved our average production target for the year of 1.76 million barrels per day. We set another record with the reserves replacement ratio of 193%, our best result ever, and the highest in the industry. Over the last three years, our average replacement ratio is an exception of 115% organically. In exploration yet again we had remarkable result adding 1.1 billion barrel of resources at a very low cost of $60 per barrel. In the mid-downstream, we can report that each business is now free cash positive for a cumulative of € 2.3 billion. In operating cash flow, we generated €8.3 billion enabling us to reach a record of CapEx cash neutrality or $46 per barrel. Considering cash from disposals, we fully covered the cash dividend at $50 per barrel. And finally, our pro forma leverage was 24%. We are the only major that reduce is that since the beginning of the downturn. This is a clear evidence of the effectiveness of the transformation process we carried out in the last three years. Another record we are very proud of it of is our achievement in HSE, beating our long term trend of outstanding results. Talking about safety, in 2016, we reached a total recordable injury rate of 0.35 with a reduction of 21% versus 2015. This has been the third consecutive year that we have improved our results and beaten our targets. Emission intensity in the upstream decreased by 9% versus 2015. This confirms that we are well on track on our long term target to reach 43% reduction in 2025 versus 2014. Our focus on CO2 emission and reduction is mainly in three areas. For methane, emission in gas flaring reduction as you can see on the chart, the trend are very positive. The third area is increasing use of renewable as a substitute for gas consumption in our operations, and by the end of the plan, we target the capacity of about 500 megawatts. And now I focus on exploration which is our center of gravity in terms of organic growth. Flexibilities in cost and time to market, it is - and it is an essential element to reach our profitable level of cash neutrality. Focusing on the last three years, we have found 3.4 billion barrels of which 25% has already been transformed into proven reserves and 25% is under disposal and for the part disposed as already generated to €2.2 billion through our dual exploration model. The quality of our assets and discoveries and the flexibility of our model allow us to promote in a sectional level of proven reserves reaching an outstanding as we said 193% in 2016. And is very important to highlight the 70% of these discoveries are long life production assets, so they give beyond the plan. Even including the effect of 40% of Zohr disposal, replacement ratio remained at 139% many times greater than the industry average. This is also for us clearly is organic, all organic. So that's confirms the strengths of our model and our focus on accelerating and maximizing the value creation. 2016 was an outstanding year in terms of discoveries and replacement ratio. 2017 will be marked by the number of projects that will come on stream. All these projects come from our exploration, which starts from appropriate exploration asset selection, which is the base of the rapid conversion of resources into production. Exploration is carryout in parallel with a phase development process that fast track our projects, reduce costs and risks and fine tunes the plan of development. We changed our strategy on APC contract. We took the leadership of all the phases, managing all the contract packages from the conceptual phase through the frontier engineering to commissioning. This way we are always in the position to adapt the projects, development step by step following the different activities which are carryout in parallel. The four main projects starting up in 2017 are really emblematic of this approach. Angola East Hub has been put in production in around three years, five months ahead of schedules and on budget. It is the second deep offshore development in the Block 15/06 in which we found 3.5 billion barrels of oil equivalent in place in 10 different fields. Block 15/06 is producing above 100,000 barrels per day today, and we are ramping up around 140,000 barrels per day during the year. Another two main projects we start up in June JANGKRIK in Indonesia and always OCTP in Ghana. OCTP is a giant oil and gas field development with identify near field exploration opportunity. That is very important is part of our model. We have already around our development prospects identify and tested. So the first phase will be oil of this project, and next year we'll start up the gas phase. So we have two projects in one, so we give a contribution this year and we give another contribution just gas that were already sold, next year. JANGKRIK in Indonesia will deliver gas to the existing LNG plant of Bontang, so we don't have any investment in the midstream. And we create a new hub of development for closure discovery such as Merakes, which will be sanctioned in the plan. That is another example of our model. Like in OCTP, like in Ghana also in JANGKRIK, we have some prospects and we have already found and tested with two wells a prospect that we became a project with a very high internal return that we tie into the JANGKRIK main cluster. These three fields will deliver a long lasting plateau of 135,000 barrel per day net to equity - net to Eni, sorry. Now the fourth and the most impressive project we will start in 2017, Zohr. It is the largest discovery ever in the mid-sea of 30 Tcf in place found, discovered in August 2015. After the first well, we moved very fast. We progressed in parallel with exploration and development that is what we are doing now on all of our big projects. In only three months, we presented the plan of development three months after the first discovery. We present the plan of development and launched almost all the tender for long lead items. So as you see, we did really in parallel, so one well plan of development and we start with the long lead items that are the most critical issue. Only six months from the discovery while testing the second well, we took the FID, so six months normally for a giant field in the industry we talk about some years. And we continue the appraisal activity, so in parallel we continue the appraisal activity with seven wells drilled and that allow us to fine tuning the plan of development, because we are in charge of the conceptual phase. We are charge on the frontier engineering and we are able with a strong flexibility to go in parallel update with the results coming from the field, our project, our field, our conceptual. So that is not all what we have, in parallel also we farm out the 40%, so we made expiration, we made appraisal, meanwhile we are made in the development and we add also the farm out. So we try to take all the advantage and increase the time to market and we farm out 40% of these asset to two major companies that you know very well. And that is not just a way to reduce our CapEx, cashing but it is also a way to confirm the quality of these projects, because if BP and Rosneft during this accelerated phase that along due diligence, technique due diligence and then they buy if somebody have send out or any doubts about the positive - the positive of these discoveries that is finished. Now that next question is are you about to start production as you said in 2017. And the answer is, yes. And now I give to Massimo, I give the floor to Massimo is one he’s ready to talk about mid-downstream financial results and close the 2016.
Massimo Mondazzi: Thank you very much Claudio, and good morning to you. So some words about the midstream and downstream actual result, where we made major progress in each business. In gas and power in line with the expectations, full year EBIT was minus €390 lower than 2015 when we benefited from positive one-off items on long term gas contracts, and from higher LNG engine margins. In 2016, we reduced these negatives. Thanks to the renegotiation of some additional gas contracts, savings on logistic cost for around €200 million, as well as the improvement of our trading resulted in a highly volatile market. This improvements that did not release the full effect in 2016 with structurally how the gas and power occurring losses on a yearly basis and together with ongoing negotiations and reduction to logistic cost, we’ll allow gas and power to reach the structural breakeven in 2017 and positive results later on. In refining, we have already lowered the breakeven margin from $5.2 to $4.2 per barrel in 2016 in advance on our original plan keeping the breakeven in 2016 tougher environment anyway. In chemicals, we continue to execute our restructuring that the lever is stable and strong result in a weaker scenario. Moving to cash, we recorded another year of excellent generation as working capital optimization as progressed strongly. In particular, gas and power working capital was robust, thanks to the optimization of stocks, the reduction of credit positions as well as further take or pay recovery. As the optimization is nearly completed, cash flow from working capital is expected to decrease during the plan, while the profit and loss cash generation will grow as a result of the turnaround. In 2016, each business was free cash flow positive. In 2016, our cost optimization program underpins all our business decisions, contributing to an overall reduction of €3 billion. On CapEx, we reach reduction 19% or 24% considering pro forma the effect Zohr disposal. This result has been obtained mainly through portfolio flexibility boosted by our recent major discoveries, engineering optimization through phase development, modularization and standardization. Synergies from existing structure, thanks to the near field exploration successes and consequent development and consequent development, and finally revision our supply chain through procurement. Since 2013, we have lower CapEx by 35%. OpEx has been reduced by 14% versus 2015 and 22% versus 2013, keeping us at the best in class level of $6.2 per barrel. Overall procurement delivered this year saving of €570 million on CapEx and OpEx. Finally, we reduced G&A by €0.8 billion versus 2014 baseline setting a structural saving of 38%. In conclusion, it’s worth saying that this result boosted by our superior portfolio flexibility together with the benefit of our recent reorganization have been achieved without jeopardizing our organic production growth by 2020 and beyond. And now, before Claudio’s final remarks on our actual results, a few comments about debt and leverage. Despite the worsen scenario in 2016 with the minimum oil price you remember of $27 per barrel first quarter 2016 and the average European gas prices lower than in 2015, we continue to keep a very strong balance sheet. At year end, the net debt amounted to 13 billion considering on a pro forma basis, the Zohr 40% dilution, corresponding to leverage 0.24. Since 2013, while our peers have increased their leverage by more than 20%, we succeeded and reduced it. Now with the leverage of 24%, we are at the lower level among our competitors. And we are ready to capture all potential upside from the expected recovery of oil and gas markets. And now, Claudio, I give you the floor for your final remarks about the actual results.
Claudio Descalzi: Thank you, Massimo. And now I like to end 2016 result presentation stressing the importance of the result we obtain in the area of cash neutrality. In one of the most difficult years in many decades, we were able to reduce our CapEx cash neutrality to $46 per barrel beating our original target of $50. We covered 95% of our CapEx with €8.3 billion of organic cash flow. An outstanding result that put any of the top of our industry in time of cash resilience and including cash from disposal, we fully cover the dividend at a price of $50 per barrel. This result is just the last step of a journey we started three years ago, allowing us to rapidly reduce CapEx breakeven from $127 per barrel in 2016 to $46 per barrel today. And this is the foundation for our future growth. And now we are going to see a very short video summarizing all the milestones in the transformation path over the last three years. [Advertisement] So now after the video, we talk about today our strategy that is in our update in our strategy. So we start reiterating our main point that is to streamline our company to be leaner more active to face market dynamics. We continue to minimize risks and optimize costs. We aim for a long term high margin growth based on exploration. We’ll continue to explore material and conventional prospects. In near fields play in synergy with existing facilities that has been one of the main theme of these last three years that allowed us to be so good in reducing costs and increasing 15% of our production. And also in frontier placed in this case frontier placed are not close to our facilities but are close to the final market. That is another form of synergy. We will capture the full value of our gas resources, leveraging the integration all along the gas chain. So that is a new message in that data of our strategy. We really try to link our strong gas discovery in the upstream with the gas and power. So from being a leading European operator, integrated with the retail, gas and power will become a global gas and energy player integrated with upstream. Moreover, we will further announced the downstream completing their restructuring. So we are going to continue to finalize. And we talk later about that, the downstream restructuring. Another point, active portfolio management with fast track value generation of our discoveries with our unique dual exploration model, so that remain a characteristic of our strategy looking forward. And finally, we complete our transformation process to an integrated oil and gas, unlocking additional value. So that are the main points, set well points of our strategy, strategy looking forward. And now look at our four year plan targets. So the final goal of our action plan is to keep cash neutrality below $45 per barrel on average in the period. So that is the new target for the next four years. We want to improve. We want to do better. This will be the basis to capture all the possible future upside and increase free cash flow generation, clearly we talk about upside in price keeping in the line steady. To assure these, in upstream, thanks to our discoveries and FIDs. We confirm a growth rate of 3% per year, despite the disposal of Zohr. New startups, ramp ups and production optimization well deliver an overall contribution of about 850,000 barrels per day by the end of the period. So what happened in these targets, we last year we said we want to grow 3% remember, but that was before our disposal. Now we dispose 40% of Zohr that was a big contributor and we confirm, so we fill the gap of Zohr and we confirm our growth rate of 3% that for the four year plan. Then in the long term 2025, we plan to have the same growth rate of 3%. So we are going to make a very strong, a strong commitment after 2020 and we read up to 2025, but we are talking about project that are out there very long. This is founded, so this growth after the plan is founded on it diversify material set of projects in Libya, Kazakhstan, Mozambique and West Africa where we have different countries with projects that are going on stream on FID. Exploration that is the new target in exploration; exploration, we continue to be the source of our future production clearly we said in the last page that we wanted to continue to grow organically using our exploration. So the target in exploration is in the range of 2 billion barrel to 3 billion barrel in the period. So we set up a new target, a little bit more aggressive that we set normally and therefore we are planned that is less than 2 billion. In mid-downstream, we’ll complete the turnaround we launched three years ago. We confirmed the breakeven of gas and power that is another very important point in 2017 and in EBIT growing for gas and power to more than €600 million in the last two years of the plan. In refining, our main target is to lower the breakeven to $3 per barrel in 2018. We are not far from that and that is the main target. In efficiency, cost discipline and operating efficiency are still our main objectives. And Massimo said, we have demonstrated that we can deliver growth even by reducing CapEx and controlling project breakeven. That has been the liability of the main result of the last three years, minus 35% of our CapEx and growth of 15%, we want to continue. In this case we improve, we want to improve our CapEx guidance reduction target to reduce inducing our target - of our CapEx of 8% versus the previous plan. We’ll keep our project breakeven at around $30 per barrel. And finally, we will continue our strong financial performance growing forward, disposal we generated around €5 billion to €7 billion and the operating activity will deliver a cumulative cash flow of €47 billion in the period. And now I focus on exploration, our engine room. Our value creation starts as we said from exploration because it ensures organic growth, low cost flexibilities and early monetization of our discoveries. On the map, you can see our drilling plan in the period. Our target as I said is to discover 2 billion to 3 billion barrels during this period, and drilling around 120 wells in more than 20 countries. As we said, our main objective is selecting our prospect is to find asset that allow us to have a short time to market, low development operating cost and for gas a fit with the final markets. So that are the main objective when we select exploration asset, because our cost saving or our capability to reduce CapEx, increase production is coming from the exploration selection, because we are growing organically starting from our exploration. So that is something that our exploration have the clearing mine when they select all the different process coming from the different subsidiaries. All these basins, we are going to explore are well known and that is another important fact in terms of geology, contractual structure, operations in fiscal terms. So we are not working in a green fields, and that is another big upside when you want to be fast in your time to market, because you can run faster like the Egypt case or Angola or Congo or Ghana when you know exactly your legal frame, your commercial frame, so you can run your economics and calculation in a very strong way and robust way. So that is very import point. All these area are area where we have good understanding of all the different parameters. Our main exploration activities would be conventional and mainly concentrate in the East, West and East Africa, the Barents Sea and the Far East. All wells and that is another critical point, all wells would be low cost and low risks. We are talking about conventional assets. We are not talking about challenging wells. So the wells are short in timing, very low operational risks, and so very low costs. And there is we maintain what we did in the last three years. And finally, our exploration expenditure will be in line with the preview of plan, so we are not increasing our exploration expenditure. And now we talk about our FIDs, the days our present and mid and long term future. So as a result of our exploration, we have a huge amount of opportunities in the four year plan and beyond. Over, these FIDs represented in the map account for more than 80 billion barrel of 2P equity reserves, so our equity. There are mostly giant fields, which underpin long term growth of around 3% per year. So that are the main pillars of our long time growth. 14% of them are close to FID with the biggest in West and East Africa, they are the yellow one, Indonesia, Kazakhstan and Norway. All these projects have an increasing maturity growth from a technical and operating point of view. And are in areas where we have a major operational synergy and long contractual market experience. So that is again another important aspect that sometimes we don't highlight enough. First of all the maturity, all these projects are mature from an engineering point of view, but also are matured because as for the exploration they are in era where we don't have to invent anything new. The only project in the only country where we had to work in the last couple of three years, four years was Mozambique was a Greenfield, a green project Greenfield, they are there, so these FID are coming from countries that we know very well and they are from a process, engineering process very mature one, and so they are close to take the sunshine. In our production growth, new project startups and ramp ups will account for around 650,000 barrels per day by 2020. And if we include 200,000 barrel per day of production optimization, we will ensure a production growth rate of about 3% per year. So that is the composition, the breakdown of the production growth of the 3%. On Kashagan we are progressing well, now we talk about some projects, on Kashagan we are progressing well and production is today 242,000 barrel per day oil equivalent, which 180,000 barrel per day are liquids. And within the second quarter, the plant will be fully commissioned including the third oil train and the second row gas injection compressor. During 2017, our budget is to have an average equity production of 49,000 barrels of oil equivalent per day. That is our budget for Kashagan. Angola where stabilized reduction between 90,000 and 100,000 barrels per day. In 2017, we expect an average equity production of 59,000 barrels per day. We will operate more than 80% of our production. And now some impacts of this model. So as a result of our model, new projects coming on stream during the plan will increase the value of our production. Over the four year plan, the startups and the ramp ups will contribute significantly with a high cash flow per barrel reaching $29 per barrel in the last two years of the plan at an average price of $67 per barrel. So that is quite impressive, because you see that our legacy projects are at $67 - at $60 per barrel cash flow. And you see the add value that the new projects are bringing in our basket. So increasing the average and bringing the average at $20 per barrel of cash neutrality at $67. So that are very creative and they are very creative, because the cost of these project are low cost, high reserves, high production, so the value that are bringing in is quite impressive. And being long live assets, the positive contribution of the three year startups, so this startup we talk also underpins our long term growth. So that these fields are more or less, so the fields that start in the 4 year plan we talk about 22 fields, about 50% of them may have a plateau that is continue well after mid - so well after 2025. So it’s really something that is going to give a long term production stability, it bays a lot that is going to remain. And now gas and I will focus on the gas business. Our view on gas is positive. It is the fastest growing energy source among fossil fuels. And for the future, we assume the demand growth driven by power generation and particularly strong in developing countries. Today, in energy market, we have a situation oversupply as you can see. We expect a rebalance early next decade when demand catches up. Then there will be in need of new LNG projects, opening huge opportunities for our gas asset coming on stream. Our gas and power business will grow. And our plan is built on the following actions. The first action is a full realignment of gas supply contract to the market. And that is the short term. In 2017, some 90% of our long term supply contracts are half related already, thanks to the recently negotiation that we concluded in November and December. And this will have a positive impact from this year. The second is reducing logistic cost to align then to the current volume. In 2016, we cut €200 million versus 2014 and we confirm a further reduction in the range of a €200 million by 2019. That is raising our previous target. And the third, so we have the short term that is made up on the restructuring, on the long term contract we are very close and the logistics we still have something to do. But the third point is really the future. And the third point is improving our business model with the further focus on equity gas and LNG monetization. Leveraging integration with upstream and that is the new model. These actions will allow us to reach breakeven as we said in 2017. It will continue growing in the mid-year long term reaching a EBIT of more than €600 million per year in the last two year of the periods that we said in our target and we expect to grow further in the longer term, mainly through the expansion of our LNG business. The accumulated cash flow from operation in the period will be €2.6 billion. So our new gas and power model aims to better integrate the gas marketing with upstream, to maximize the value of our equity gas that now is huge with a worldwide marketing capability. This will be based on two pillars. The first one is the domestic markets where we traditionally have an important role in the energy development of the off-stream countries. That is something that we already tested was very positive we can expand and with our, the competence of our gas and power units, I’m sure that we’ll succeed. And the second point is LNG, where we built our own competitive in size well portfolio. So we can create a stronger portfolio you see that we pass from today 3.5 million ton per year but with all the gas we found recently and discovering from Indonesia and Mozambique, we talk about Egypt, where we talk also about Ghana, we talk about Congo, Angola. So really we are a huge range of gas discovery ready to do and we can give value to these gas recovery. Our target is to expand our portfolio and reach using our equity gas 10 million ton per year by 2025. So filling the gap of the period in which we are going to add a strong need of energy. And now look to our downstream in general so R&M and Chemicals. So in the R&M, we reduce our breakeven margin from $7.5 per barrel in 2013 to $4.2 in 2016, reshaping our downstream all business. Our main target as we state before is now to structurally lower the breakeven to $3 per barrel by 2018. And that will be achieved by leveraging mainly optimization of the existing plans and then the second phase of Venice Green Refinery and startup of Gela where we target overall 1 million ton of production. In logistic, we are working a lot on the logistics in terms of pipes, and in terms of tanks rationalization and that is going to cut drastically again our cost and then growth in the market results. Through our action, we double EBITDA. And if we include our scenario assumptions, EBITDA will triple to €900 million by the end of the period. So considering this at the same conditions we’re going to double, but if you put our scenario, we triple. The cumulative operating cash flow will contributed €3.3 billion in the plan period. So it’s going to be a very strong contributor. In Chemicals, we target EBITDA of around €300 million per year. So is steady very high, very good, very positive. And the cumulative operating cash flow of €1.2 billion in the period that will be free cash positive and that despite deteriorating the scenario that we assume for our chemical business. We’re going to reach these targets through a greater integration, optimization and flexibility. That means putting together all our product and our plant to increase the synergy and the feasibility in time of product with demand. We are focusing the portfolio on high margins specialties. And that is in progress, we are covering already 40% of our broader that means that we are going far from the effect of the change in price of the feed stock. So is a protection and we are on the value chain. Then we have the green chemicals and the international expansion, we are walking and we are expanding our international business. And now Massimo again to talk about some remarks on financial.
Massimo Mondazzi: Thank you, Claudio. So first of all maybe some words about the overall CapEx. The four year CapEx program shows a reduction is and anticipated by Claudio versus previous plan by 8% or €2.8 billion details as follows. As far as 1 billion relates to portfolio mainly Zohr, as the disposal with this charge more CapEx that is expected. As far as 2.3 relates to rescheduling upstream project and procurement. This reduction has been partially offset by the increased effort to around €0.5 billion in other businesses mainly during renewable. Upstream spending remains by far the cornerstone of our investment strategy covering 86% of total effort and assuring a really competitive return. We’ll operate 84% of the total development CapEx in upstream. In 2017, we expect overall CapEx in the range of €8 billion, down by 18% versus 2016 at the constant exchange rate. In 2019-2020 if required by negative scenario evolution, young committed CapEx of around 55% will give us the flexibility to adjust the overall maneuver. And now let me talk about our enhanced disposal program. First of all, a quick review of what has been already done mainly to streamline the group structure as well as to implement the dual exploration model. In the last four years, we cashed in €18 billion plus €2 billion signed last December to dilute our share in Zohr. This €20 billion is mainly composed by €10 billion from equity disposals Saipem, Snam, Galp and more than €5 billion from dilutions in exploration assets. In 2016 we dispose of assets for a total amount of €2.6 billion that means we already got 40% of the original €7 billion 2016-2019 targets. And now the future; we will continue to streamline our portfolio to focus any around the core oil and gas activities and to fast track resource monetization. With these targets in the period 2017-2020 we are projecting additional sales in the range of €5 billion to €7 billion of which around 60% in 2017-2018 with the transaction now much you're expected in the weeks to come. In detail, €3 billion to €4 billion are expected from additional dilution in exploration assets, €1.52 billion up from E&P marginal asset rationalization, and finally €0.5 billion to €1 billion from mid-downstream. For the cycle clarity disposal of our remaining sharing Saipem retail gas and power and chemical are not included in this amount yet. And now let me summarize the effect of what we described on our cash flow. Our cash generation is growing in the full year plan even in a stable scenario, and would be further amplified by the recovery in the oil price. In 2017-2018 the average $57 per barrel Brent, we expect the cash flow from operation of €10.5 billion, 25% higher than in 2016. €9.5 billion will come from upstream, boosting their contribution by more than 50% versus 2016, thanks to the strong pipeline of our creative ramp up start offs are already described by Claudio. The resilient contribution of our legacy loan plateau asset will complement the growth. It means that we expect to cover organically, our current cash dividend of €2.9 billion at around $60 per barrel. In 2017-2018 we expect disposals in the range of €3 billion to €4 billion. In addition, we will cashing around €2 billion Zohr already signed and this together will provide additional resources for our cash allocation policy. In 2019-2020 the cost on $57 per barrel scenario, cash flow is expected to increase by €1.3 billion to a total average of €12 billion. This will be the result of the additional production increase that will raise the upstream cash generation up to €10.5 billion and this level we maintain longer supported by the significant contribution from long lasting plateau projects. Other businesses we’ll contribute as well to cash flow growth as a result of turnaround activity then fully in place. The overall cash improvement will reduced our organic cash neutrality well below $60 per barrel in 2019-2020. On top of these three further up sides scenario, portfolio and CapEx flexibility. First scenario, as an example should the oil price be $10 higher we would improve average annual cash flow by an estimated €2 billion. Second portfolio, we expect contribution of at least €1 billion per year in 2019-2020 without any contribution from Saipem retail gas and power and chemicals. Third, CapEx flexibility leveraging on a 55% on committed CapEx in 2019-2020. Finally, our shoulder remuneration policy remains unchanged, and even more substantiated by the actual result and updated targets. In 2016, we reached the coverage of dividend of around $50 per barrel assuming the effect of the 40% sale of Zohr. In 2017, we confirm we will fully cover organically our dividend as $60 per barrel as the growing cash generation from upstream and CapEx optimization will balance lower working capital contribution from midstream. In 2018-2020, we confirm our cash neutrality well below $60 per barrel, leveraging on our increasing performance as well as our proved CapEx flexibility. On this basis, we confirm our commitment to pay a 2017 full cash dividend of €0.8 per share and later on to progressive distribution policy in line with our underlying earnings, cash grow and scenario evolution. And what we have shown in the previous cash flow chart gives you the order of magnitude of extra cash we expect from organic growth portfolio, flexibility and conditional upside, which would be available to progress our distribution as well as to expand our core business through new accretive initiatives, maintaining and strong balance sheet with the leverage target in the lower zero point zoom. And now back to Claudio for final conclusion.
Claudio Descalzi: Thank you, Massimo. Just few words to conclude, so after over the past two years we have to show any into a leaner and stronger company, focused on E&P business. We reach structural low cash neutrality, which position us to capture any possible upside. We have built high margin portfolio made of a large number of mature projects coming on stream which will ensure our production growth in the medium and long term, and a huge amount of reserves still to be converted into project, which will give us flexibility and value. Exploration we’ll continue to be the basis of our long term organic growth. We will keep concentrating our efforts on development projects to fast track production and maximize cost efficiency. We believe in the future of gas and thanks to our upstream position we will become a global integrated gas and LNG players. The transformation process is still in progress, and there is much additional value to unlock. So I thank you for your attention. Now before going to the Q&A session we have a very fast video to summarize the main step of our strategy. Thank you. [Advertisement]
Operator: Okay. Thank you. Thank you very much. We are now ready to start with the Q&A. It will take 45 minutes call, please, yes, Michele?
Michele Della Vigna: Thank you. Two questions if I may. The first one is, you’ve done more than any other company rebuilding your pipe and a future projects. Could you discuss the profitability of these projects at different oil price assumptions for the future, and then secondly clarification on your targets for production and for CapEx, do you include a fair amount of Mozambique?
Claudio Descalzi: Okay. I’ll talk about the projects and then I ask Massimo to talk about the rest. So you saw that our cash flow per barrel is accretive. So we are really with this set of projects we’re increasing our value and it’s also increasing the value of our basket. The internal rate of return is good also at the present - the present level, so we talk about double-digit and really above of our order rail for each countries. And so what we can say that with this kind of a cost when you talk about exploration cost last year was a $0.60 per barrel. And now we have $60.02 operating cost on average and that would be also for the future project on average clearly. And then we have a development cost that we are level that are lower than a level despite the new big giants. So that means that are we have the giants in our end that have a cost of it more projects onshore projects that is a big step to be resilience. So is clearly that a cash flow per barrel $29, $67 per barrel oil is really a good one. So they are very resilient, it’s clearly we run different kind of test and stress test on the package, but I think we never had a so stronger set of projects in our history, not in the recent by, in our history. So as a number of projects 22 projects that are going in production, but all the other projects really to be really so - really from a reserves project point of view, we never had a so strong from economic and from an operational point of view set a project that is call varying not for four, not for eight, but really for the long run. We are talking to about 2025, but we have projects, because we are inside we are all the big projects you said, you saw that are going with a steady. And that has a demonstration because any is one of the few company that own asset not in the Gulf that are really long term outside Gulf, Africa that is the last in for the last 30 years of same level, we talk about North Africa, we talk about also West Africa. So now we are again in these new positive way or and we have rebuilt something that is going to last for the next 30 years. Now if you can answer about CapEx and…
Massimo Mondazzi: I will include the disposal program, so net of disposal program.
Claudio Descalzi: Very fast one.
Thomas Adolff: Hi, Thomas Adolff from Credit Suisse, also two questions. The first question, I wanted to go to disposals and I wondered whether you can say something about your disposal program in Mozambique, it’s been we had to be very patient. And also on the…
Claudio Descalzi: I have or you have.
Thomas Adolff: Also linked to disposals, you’ve just mentioned as part of your new plan that gas retail, and the size and Saipem is not included. But let’s say and these are non-core assets in your own definition. But let’s say you are confirmed for the second term. Could we see an acceleration of the disposal of maybe gas retail at least? And the second question I have is on Kashagan. I wonder whether you can give an update on where things are, how things are performing, how wells are doing. And the project has cause a lot of money, I think in total $60 billion, your share maybe around $10 billion. The government isn’t going to see much money, so I wonder whether there’s a risk of certain changes to the structure of the contract.
Claudio Descalzi: Okay.
Thomas Adolff: Thank you.
Claudio Descalzi: Thank you. So I’m going to talk about Mozambique, and going to talk about what is not in our M&A, so can go gas and power. I just a few comments on what you said at the end and then Kashagan would be passed to Antonio Vella is there, so he have to talk about Kashagan. So first of all, you see I’m series. Don’t laugh. So Mozambique everybody must be very patient, but I think that recently we made very good progress. So I think Massimo said in the next, in the coming weeks. Massimo is the CFO, who say coming weeks are coming weeks. So I think that have been patient, but I think is a big project, is a big deal, is a big choice, we cannot disclose yet, who would be with us so, anyone answer because I can’t answer. So I think that we are not far, we are not far, so unfortunately we are not able to do the big shot today, that was wonderful, but the results are so good that we can also leave without for the moment. So Kashagan part chemical already and put it because we are walking and it’s on the chemicals or it’s doing very well. So chemical is getting value very early - getting value of free cash flow and from an industrial point of view very robust, and I think that the CEO, Daniele Ferrari is here and maybe later can give some disclosure, and I’m really satisfied about what they’re doing so. Is there we’ll see, we have a big option. So is that, we confirm the strategy. We confirm the fact that we are one oil and gas integrated. We will see the development is not there, because we are still thinking of. Retail gas, we are creating a subsidiary so a company here there CEO is going towards this way, and we’ll see in the next month. We were already I think in next month or next time disclose of its clear that is done in additional value.
. :
Antonio Vella: Thank you. So the commissioning phase has been well completed, and so now we have already stabilized 180,000 barrel oil. Next step as the Claudio mentioned that is the gas injection is going to be done in June, July without shutdown. We have done all the network in place and COC have completed all the job, the system of the gas injection is under commissioning at that moment, and the cleanup of the Island A and D has been completed, D is clean up, and very soon after that we start to APC3, so that the plant is working very well and the engineering has been world performance through the commissioning. Thank you.
Thomas Adolff: Thank you, Antonio.
Operator: Irene?
Irene Himona: Thank you. Irene Himona. So there as well I had two questions please. Firstly on the back to the 3% production growth target, I think you mentioned Claudio you need 650,000 of startups and 250,000 production optimization I wonder if you can elaborate and what production optimization actually means if there any contingencies factored into that target? And the second question you guide to gas breakeven in 2017, what if any specific contract renegotiations do you need to conclude this year to reach that level? Thank you.
Claudio Descalzi: So the gas optimization that has been also our - is our accelerator of we accelerate or resolving now, that is really peculiar to our company, because when we look at the long life of our projects, our projects start in the in the 60's or in the 70's, they're still there producing some 100,000 barrels per day, because we do what we call that is really Eni terms of production optimization, because is a set of work that is mainly work over sidetrack smaller development inside the contractual area. Sun application and new technologies in term of smart completion or multiple in vision, so we go back and we reopen sometimes in the past we had wells with different layers. And because of technology we are going to complete or coming groups of putting together all the layers that is the worse things to do because, they have different pressure, and that you can produce only if the higher pressure, the lower pressure that but the other oil. So now we go back and we use smart and let me give an example, there is lot completions, so you can complete you have five layers, you complete five layers, separately you can give to each one the opportunity to talk, because they have different voices, different pressure, and they can give contribution or so layer that has been silent for 20 years. And that is very important, because not only we are going to increase production, but we are going also to other steps, so when you see that we are going to increase our replacement ratio is, because our exploration, because the FID also because there is a detailed work from there is a war and petroleum engineer point to go in and revisit all these wells, completion is very important way things. And then we have sites rock, because really process through the four these seismic, so there is 2D, 3D, the 4D maybe you’ve heard about the 4Ds that is the seismic that we do, and we compare during the production life of the of the field that give the announcement or the progression or the production and how your layers are, and on these basis we are going to catch with a standard reach or horizontal wells all the different beds or the different reservoir that we left behind and we can see through this - for the seismic. So there is a huge amount to work a very high internal rate of return because we have everything, we have everything dine, we have the plant, we have everything is there, you drill it differently, so we - and that is very helpful in the future to increase our energy internal return. We are talking about 200,000 barrels, and we talk about internal long return at this price of today that are bigger than 20%, and this is good also for the first part, why because the costs are low. So there is a big profit them. So it’s based on technology, competencies, keep the same people constantly on the same reservoir, so they know everything, because the reservoir is a human being. If you have your doctor is much better, because he knows everything about you. And the reservoir is the U&B, maybe sometimes is day before, and sometimes is much longer. But in any case we need a good doctor, so that is the production optimization. Second, the gas breakeven. For the gas breakeven, we have the new COO and expert on that present Massimo Mantovani will be happy to answer to your question.
Massimo Mantovani: I’m the new one.
Claudio Descalzi: Through your…
Massimo Mantovani: No, it’s okay. I just have 23 years of Eni, but and of course with Claudio even more actually. And you know that was one of the focus in respect of gas and power business, and I have to say that in the last months, we were really busy on gas negotiation. Claudio mentioned that we close four of them and more important to close summer track for 2017. And we do have the breakeven and I think that now we are working for a positive result, so this is a clear positive message. We will continue negotiating, but you know we have a good negotiating table suite over other suppliers, so it's going well.
Operator: Theepan?
Theepan Jothilingam: Thank you. It’s Theepan from Exane BNP. Could we have a deep dive on Zohr please, and - that’s all right. Deep dive on Zohr please, could you just give us an update in terms of what you assume capital spent in the current program, then the prices in terms of to start up and how we think about the ramp up to plateau on Zohr please? My second question comes back to sort of capital allocation and capital return back to shareholders. I wanted to sort of - if could you talk about the scenario in terms of when you would think about an increase in cash return to shareholders. The tension between what is undoubtedly a sort of impeccable balance sheet compared to your peers and your breakeven? So I was wondering when do we think about an increase in cash return, if for example you sold assets above your disposal target, do you think of special dividends, buybacks that framework would be very helpful? Thank you.
Claudio Descalzi: That is very clear. So Zohr as I said, we are absolutely convinced and determine to have Zohr in production this year. Zohr is going to give also after the disposal is going to be for the first part for the first phase for us internal equity 75,000 barrel per day on equivalent. Then when you go to the after 2019 we pass about 175,000 and then after 2020 between 240,000, 250,000 barrels per day, that is a production growth of Zohr today. We have an overall expenditure that will go after the plan that as you know is more or less €12 billion is going to be maybe a little bit less I hope, because there are good performance from the contractors and they are moving very fast, and the markets are very good internal items, so we think that we are going to reduce. Our exposure is less, because now has been reduced by the 40%, I think that in the plan is something about 100% - 60%, sorry, 60% without the 40%. So that is the in term of returns you ask us about the return of Zohr as acceptable, a double digit much go our other rate for the country. We negotiate all the country before starting and help others to recover our working capital. I think that's in this very critical year Egypt has been the first year for what I remember the we close to 2016 without sending. And Egypt is participating in term of Egyptian pounds for 25% in the investment, and normally we put all upfront and then we recover, so there are - is really strong, and well protected, because it’s the main - is a priority they main project for Egypt. So normally I have to give the pass, give the floor to Massimo to answer to your question. But your question and is standing point is very reasonable what you said, let’s be clear if you are adding value and be risk because clearly they - one is our priority at the same level of the development, because we have to fill this dividend. Is something that we’re going maybe to discuss in our board, is not something that I can disclose now. But it’s something that we are going to see. At the moment to our policy say that we’re going –we’re going to increase our dividend considering the earnings growth and they - when you see scenario where we talk about earning and scenario because it really that we don’t want a pick up and then go down, so we need some stability. But especially the stability now is wrinkles for today capability with what we said whether very low breakeven. So that is very helpful and for sure he’s going to have good and positive results not just from rating point of view, but I think I’m sure also for our shareholders is premature, but your point is very clear, and I don’t think that not a reasonable.
Operator: Jon and then Hamish.
Jon Rigby: Thank you. It’s Jon Rigby from UBS. Two questions. First is on going back to Kazakhstan, I noticed you’ve got two Kashagan projects going into FID CC01 and then Phase 2. So I just wonder whether you could just talk me through some of the more the details around that. And also I noticed that the expansion project of Karachaganak is also in the FID list. And I was just wondering whether the capacity within country to be doing Kashagan, Karachaganak EP and also the Tengiz expansion which is ongoing as well, and whether there some tension between all those projects and whether you can discuss that. And I guess given the developments of the last few months that I’ve just saw so wonder whether you could give an update on your position in Libya, what you’re seeing there and maybe some sort of risk view of what you could be doing depending upon how the country develops over the next few years if that’s possible? Thanks.
Claudio Descalzi: Okay. On Kashagan, Antonio is going to explain where we are. When we talk about these projects the CC01 and the Phase 2 and the Karachaganak is currently there is a strong will from the government to increase production. And especially now that we are in a positive trend and still we are in a positive supply chain situation. So now is a very good moment, because you see in perspective your order that is going up, but the market is still in a waiting moment, there are waiting, is not - there are not a lot of projects, because not easy to start a project so we have a wonderful opportunity. We can bet on a growing price and we have a market that if you are ever to close your contract now, we have a very good discount, and that is going impact on costs and recoverability. So is good for a Kazakhstan, I’m not saying it’s also what they think is good for Kazakhstan to be able to have contracts sign in these years and this year when we are still a very good market condition they weigh when the price will be very high and means that we are going to increase cost for the same amount of production is through that we have higher price, but all these costs are going to saturate the cost and reduce their profit for them. So I think that we have to consider this balance and when you consider this balance and you see that is very positive and now we have a strong opportunity. So Antonio will talk about these projects.
Antonio Vella: So let’s talk about Karachaganak expansion. As you know Karachaganak is a steady plateau over 260,000 barrels since five years, and the objective is to extend it longer. So the main expansion is compressor of the gas, one stage is going to be in FID soon this year, and then sequentially we will go for the other expansion to keep follow as the plateau at the same time. At the moment, the relationship with authority and the intention to proceed with all the projects are very nice. Concerning Kashagan, the next step idea of Kashagan, as Claudio mentioned, is the CC01 which will allow us to increase the injection of the gas and jumping up from 370 to 250 which is the end of the experimental project of Kashagan. Definitely ending this project we have to start additional phases because the oil in place of Kashagan is huge and we have to ramp up the plateau above 450 and this has been a white remark and projects within the four year plan and after. Thank you.
Claudio Descalzi: So Libya situation from our operation point of view is quite steady. We are in developing, we are developing offshore, we are also developing onshore in Wafa and we are also exploring. So we are quite active in these periods. Is clear that from a point of view there is an instability, and we are following, we are following and our first priority in this situation is a clearly there’s a curious of our people. Our people is not just done, our people in generous, our local people everybody so that is a big question, big attention and that is our priority. The gas demand is increasing, and as I said set of times running in a country that has some issues, big issues, gas demand domestic, gas demand. There is not industry, the domestic gas money is increasing, I think a positive sign now, means that there are people, they are cooking, they are eating, they are sound dynamics, because we are delivering a lot of gas and we are reducing also our exports to able to help Libya time of gas demand. So we are following especially the Libya is a huge challenge for us, because we are in the position of what we have found without considering the last year call what we have found, we are in the position in Libya to double our gas production and compensate production without considering field. Believe that, but we can double, that means that is another important element that we can add to the East Hub because that is really in this area you can see the softer as well where we are going to be very active and inspiration, I mean Egypt where we’re working to put in productions Zohr and to explore additional reserve Libya and the 11 time basic is really a huge amount of gas that can really help Europe for the diversification very low cost, very, very low cost, Libya is another case that we love because it really is our model. So we have everything, we are just drill wells, we have platform network pipes, and we have everything. That is going to be a very, very interesting and positive opportunity for Libya and for Europe. So we hope that everything is going in the right direction.
Operator: Hamish?
Hamish Clegg: Thank you very much. It’s Hamish Clegg from Bank of America Merrill Lynch. I’ve sort of got a question for you Claudio and one for Massimo and one for Luca, I think he’s listening. First of all just on the breakeven, you’ve talked about a breakeven and cash flow kind of pre-dividend and you’ve given us and good sensitivities in the back of the slide show doing a sort of initial quick calculation on my numbers and those side you’ll be able to cover your CapEx and your dividend over the four year plan at $53. Does that number resonate with this sound right, is that risk to the downside on that number, i.e. lower breakeven? My second question is if you’ve got a fairly bullish longer term outlook in oil prices, you're in countries OPEC, parts of OPEC, I should say. Could you tell us what you were saying in some of the early sort of volume moves across the world and what gives you conviction in rebalancing world oil markets as really one for you Claudio? And finally for Luca, just what's the most exciting things in your exploration pipeline please?
Claudio Descalzi: We're not going to say a lot about that. So Massimo you want to answer to the first one, and answer about OpEx sensitivity and then Luca about last thing.
Massimo Mondazzi: So the question about the cash neutrality, yes, cash neutrality is expected to decrease all along the full year plan just to recall the cash neutrality calculate and including I would say Zohr I mean the take out of the 40% CapEx already incurred in 2016 is in the range of $61 per barrel. So we are starting from $61 2016, this cash neutrality is going to decline all along the plan, while we complete the turnaround in the business other than E&P and the grow up in production that take place have been described by Claudio. In average the number would be probably a bit higher than the one you mentioned, so will be in the range of $55, $56 something like this, but with this sense the numbers is going to decline along the play.
Claudio Descalzi: Luca?
Luca Bertelli: So I'll not tell you what's the most exciting, but we have good opportunities as you see. We have good opportunities in West Africa, it's mainly targeting oil prospects, and we had the continuous reload of our portfolio also during these troubled years, and we have good opportunities coming also in East Africa. And also in Norway in a future and that's what we are going to do, so this year will be still a year of finalizing our price of campaigns, mainly and few explorations shut next year will start we have more aggressive exploration campaign on new place.
Operator: Alastair?
Alastair Syme: Hi, it’s Alastair Syme with Citi, I have two questions. On your gas supply new to the getting to 10 million tons per annum of LNG, just to clarify does that come from a willingness to take on equity gas through Mamba as opposed to what you did in Coral? And the second question is what would you has a gas somewhere return on capital or return on equity would get to under the full year plan, for profitability return?
Claudio Descalzi: Talk about LNG or overall?
Alastair Syme: Overall.
Claudio Descalzi: Overall, yeah. So for LNG is not just the Mamba or Coral or Zohr is really that's to find a lot of gas, so is really huge amount of gas not just there, because we have a - we have a gas that we’re injecting, that we can increase production lot in Congo for example, and we are projects to start. Energy is not in our investment there from other company as selling there. We have needful gas for Angola LNG and we have a lot of gas there. So that is another huge amount of gas that's we kind of see the strength at the moment. And we have to develop for the Angola LNG, so these gas that's we have to develop for existing LNG. And then surely we have - we Indonesia, Indonesia refine gas now we have additional discoveries that you're prized, and we have new fields. New fields that are ready to go off-stream, so we have our equity, and I think that is quiet a wise to stay along the chain and increase our packages instead of buying gas, buying LNG for modern producers, I think that our LNG must work - sorry, gas and power must work with E&P to from the very beginning because the gas when you open a new gas or you have to go through to the market in your gas, you have to start at the very beginning, you have to show the solidity of your project, you have to show the solidity of your presence in the country, because the buyer wants a lot of assurances and guarantee about your position. And then the reason other elements that is quiet important that we have a strong position in these countries as E&P and a lot of investments and we have to renegotiate in times with the same countries, the gas price. And I think that is not wise to keep the two things separate. We have really to go and discuss with the country as a unique company, and that is quite important. Because gas and power has been European monopoly player and was a long time ago, but also we’re seeing a company in a company, because they have their own gas, southern gas in Europe mainly filling to the retail gas, and that is a very - but for the Eni culture is the revolutionary you moral that put together the two entity other upstream not in the downstream. Because we have enough gas now, also before, but now we have a lot of gas then, gas and power can be really useful with a competence to work on the contracts definitions, definition in the country where we deliver gas for the domestic market. We are I think one of the - I think the first company in term of delivering gas with the domestic market, and where is the E&P gas. So that I think is going to give a tremendous advantage and plus for us, if you want to add something Massimo, please.
Massimo Mondazzi: Just to underline something you say is that one of the key factor for us in LNG strategy is that we have a competitive LNG and geographically diversified. So you are not just looking for something like mamba to deliver all the time you know tons of course, because that has a huge value in terms of actually being able toward not only valorized the upstream production, take the midstream, but also add trading. So the diversified project - and as Claudio said, we have from Australia, Indonesia or we close this year the first contract, we will start deliveries from Jangkrik in the summer, then you go Mozambique, you go to Angola, Congo, Nigeria, Egypt that is the value of the strategy, which is going to be a 2025 with 10 million tons at least.
Claudio Descalzi: Thank you, Massimo.
Operator: Kim?
Unidentified Analyst: [Technical Difficulty]
Claudio Descalzi: Massimo it’s for you, if want can answer.
Massimo Mondazzi: So in return that is the starting level you know as whole for the industry is quite low in 2016 what we expect is a number growing, we expect to be at 8%, 10% in 2019-2020 it will be the result of all the action that has been prescribed so far including a significant reduction in the so-called work in progress capital employed that at the end of 2019 - sorry at the end of 2016 is 29% and it will be reduced down to 21%, 22% at the end of this plan. Let me comment an additional comment on this. Now we characterize our self as quite pure upstream, so our capital employee you have seen is at 85% now invested in upstream, and I don't know relief to measure through [indiscernible] return for a quite pure upstream is correct, because we definitely we don't have any kind of advantage from a significant amount of capital investment in downstream or in chemical that may be currently produce a significant return without the need of significant investment. So for us using this kind of metric is I would say a little bit different versus the others that usually you compare with us.
Claudio Descalzi: And I also talking just about the internal rates reserve an average on all our packages would be higher than with this price, this price is higher than 15% the price of today. That is a good point.
Oswald Clint: Thank, Oswald Clint of Bernstein. I wanted to ask about the engineering comments an approach you're taking, you know taking control of engineering being involved in feeds all the way through commissioning, and I don't think anyone is ask for Roberto a question, so it's a maybe it's for him, but is you know things like East Hub coming in five months ahead of schedule are they going to be more examples of that or can we can investors start to thinking about your projects on time ahead of schedule from today onwards or the teams mobilized to actually deliver that is there any way that you're checking that, would be my first question. And then secondly, kind of related to the gas in LNG as you focus on LNG, but in the midstream we still have 90 billion cubic meters selling in Europe and 30 of it going outside of Italy, do you really need to have 30 bcm being sold into Austria and Germany and France and all of these countries, could a big chunk of that go? Thank you.
Claudio Descalzi: So Massimo will talk about. In term of organization Roberto is going to explain, because we probably have big slide that was too long because we did so if so big work on these in the last four or five years. We ask, do you have another example. Okay, we have another example. The first example is East Hub that has been four years on schedule - two months on schedules and on budgets last year. Another example is Nenè from the discovery 11 months the production now it was 25,000 barrel per day. Another example is Nooros discovered with Zohr is producing 170,000 barrels per day. Okay we West Hub and now we have Jangkrik and OCTP, and then we have other projects. So I think we have at least most of the production, at least 300,000 barrels per day that now we are sitting on otherwise the depletion that are coming in the last three years, we can say three years, yes, or two and a half, is they are coming from the new model, and that are not just one example one, two, three, four, five example. And I think in that’s the future will be like that, because we change everything, but especially we change this obsession to be absolutely perfect, and spend all your money before sound your production, because it’s nice to spend all your money and start your production. We don't want to do that. We want to phase all our projects are faced and that increased internal rate of return and cover the CapEx. And just to give you another example for because that is with a dual exploration model, Zohr and Mozambique will be never during the execution of the project that in negative free cash flow, so we have two projects that will be freakish flow positive, because we cash we cash needed. Before starting production so I think worldwide example of efficiency, where you have two giant projects that are not negative free cash flow, never, never , just a few wells at the very beginning then there are the start to be in green positive. So I think that there are the examples, there is a strong commitment, put in the last slide that that we are - our perception is really the time to market. We don't want to leave sleeping reserves that we have found that are easy to put in production, and that is an obsession of all our people, all our people. So now Roberto show your absorption, please.
Roberto Casula: Well, let's simplify and talk about two main phases, design over development and execution. Because clearly the result of it is the impressive schedule achievement you have seen today. In both cases the key is at this a top of an engineering group in-house, we set up a group of around 1000 people out of the 3000 thousand people working on all these developments at the headquarter level. They are working fully integrated, that means that we started looking at possible development schemes since the very early stages of exploration and appraisal. We start to building a reservoir model, since the very early stages, in a way that the once we have the results are coming from explore well, appraiser well and then later on developing well, so we are able to immediately fine tune both the reservoir behavior and the development scheme and even their facilities design. This is very important, because in the past that we were used to iterate no possible changes with party engineering company. Now all these activities is done in-house. So you can imagine that everything has been completely squeezed and this is a key to achieve early FID. Second phase execution, we have full control now of all the execution activities including the not only engineering, but the procurement activities Zohr is a key example, because all the procurement of Zohr has been done by us. We just the subcontracted the construction activities that they were not part of our business. And the fact that you have your hands on the execution activities minimize also the risk of times badge, cost increases, et cetera. So the key in this model is a firstly working in a fully integrated manner and not in back to back sequence about the fully parallel in the integrated manner and then by running engineering activities for the facilities by ourselves.
Luca Bertelli: On gas supplies is correct, because in power is selling nearly 19 billion cubic meters of gas around mostly Europe, and you know we are on one hand are working on the realignment of the supply cost to the market price, and then on the right sizing of the logistic cost. But at the same time you were also kind of discussing with some of the strategic partners most of future in particular in respect of contracts we may be terminating or contracts which may be evolved someone which is not gas and power. But one of our partner say is a modernization of the contracts, this is the discussion which we have to take place in particular with the key big suppliers and you know, because the future is really changing us changing is the market. In the LNG is changing for the overall structure of the market we're going short term flexibility, smaller amounts and you need a big portfolio diversified, but also on the gas sector is actually changing, and we’ll have to change also the relationship with the main suppliers.
Operator: Just the last question, because we are running out of time, Massimo.
Massimo Mondazzi: The last two questions. You can start.
Unidentified Analyst: Yes, I will keep it to one, Claudio. I congratulate the Italians on last weekend as well, but you know it's let's cross over that. The question really is just on Mamba and therefore - when we see the transaction in the next few weeks still be the operator of the block particularly in the case of Mamba, because it I don't know whether I'm reading this right, but if you look at your FID chart, we shouldn't have any early days on it obviously, it was like Mama is kind of going slight towards the back end of the FIDs over the next few years now rather than closer to the front, as it was before?
Claudio Descalzi: Yeah.
Unidentified Analyst: Any comments on that.
Claudio Descalzi: I have the comments, it's clearly that we didn't announce that dividend yet, so I can't disclose everything, what I can confirm that we remain operator part of the project, so we remain in as in charge of part of part of the part of the project, can I say more, but part of the project. Mamba is not delay Mamba - so we're not delaying Mamba because of this transaction, this transaction not delaying at all core of Mamba. Mamba is really a link to what we said before the period of time where we think we are and more needs of energy that is starts from 2022, 2023. So Mamba is not in this waiting list because of the transaction of our discussion. We are still working with Anadarko. We finalize the tender process in 2016 that ready for the two trains for us because as you know Mamba is developed separately, so we develop our train, they develop their train we have just the commons of serious together. So I think that's the best moment to have an effort it will be by the end of 2018 or May 2018, no 2017 because there is no space in the final market. What we are doing and that is guys in part that is working actively in term of our market into gas, so our traders are working on that, working with our co ventures, clearly it will be easier, easier why because the first breaking eyes of the first in a new country, new project, LNG, so the first moment was very important, to create a market vision from the buyer point of view, on the on the country, on the companies, on the project that has been done. And there's been certify by one of the most important traders that has been filling thermal LNG. So that has been done as it was a very important step. Now, I think that we have a very, very good run away in front of us, and there is no any kind of reason of the markets.
Operator: Last question, Massimo.
Massimo Bonisoli: Massimo Bonisoli from Equita. Two quick questions. Could you give us an indication of the current average depletion rate for NP and you assumption embedded in your guidance to 2020. And the second question on refining, you confirmed that $3 per barrel breakeven in 2018, despite the accident of the EST plant at Sonatrach that should we consider it an underline improvement in the guidance or and how much is the underlying improvement if any?
Claudio Descalzi: So the depletion rate is always between the 5% to 6% so what is the plan is consider between that 5.5% of depletion rate. On a $3 per barrel you can see the improvement of 0.2, because we confirm the $3 per barrel and that is an improvement, because that is the weight of the EST, that is going to start production in 2018 so 0.2.
Claudio Descalzi: Okay, thank you very much.